Executives: Daniel Swenson - Senior Director, Investor Relations & Corporate Communications W. Anthony Will - President, Chief Executive Officer & Director Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development Dennis P. Kelleher - Chief Financial Officer & Senior Vice President Christopher D. Bohn - Senior Vice President-Supply Chain
Analysts: Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker) Don D. Carson - Susquehanna Financial Group LLLP Vincent Stephen Andrews - Morgan Stanley & Co. LLC Adam Samuelson - Goldman Sachs & Co. Kevin W. McCarthy - Bank of America Merrill Lynch Matthew James Korn - Barclays Capital, Inc. Jeffrey J. Zekauskas - JPMorgan Securities LLC P.J. Juvekar - Citigroup Global Markets, Inc. (Broker) Mark W. Connelly - CLSA Americas LLC Joel D. Jackson - BMO Capital Markets (Canada) Charles Neivert - Cowen & Co. LLC Michael L. Piken - Cleveland Research Co. LLC Tim J. Tiberio - Miller Tabak + Co. LLC Sandy H. Klugman - Vertical Research Partners LLC Andrew D. Wong - RBC Dominion Securities, Inc.
Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2014 CF Industries Holdings Earnings Conference Call. My name is Bridgette. I'll be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the presentation. I would now like to turn the presentation over to the host for today, Mr. Dan Swenson, Senior Director of Investor Relations & Corporate Communications. Sir, please proceed.
Daniel Swenson - Senior Director, Investor Relations & Corporate Communications: Good morning, and thanks for joining us on this conference call for CF Industries Holdings, Inc. I'm Dan Swenson, and with me are Tony Will, our President and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President, Sales, Distribution, and Market Development; and Chris Bohn, our Senior Vice President, Supply Chain. CF Industries Holdings, Inc. reported its fourth quarter 2014 results yesterday afternoon, as did Terra Nitrogen Company, L.P. On this call, we'll review the CF Industries results in detail and discuss our outlook, referring to several of the slides that are posted on our website. At the end of the call, we'll host a question-and-answer session. As you review the news releases posted on the Investor Relations section of our website, at cfindustries.com, and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. Actual results may differ materially from those projected as a result of certain risks and uncertainties, including those detailed on slide 2 of our webcast presentation and, from time to time, in the company's Securities and Exchange Commission filings. These forward-looking statements are made as of today, and the company assumes no obligation to update any forward-looking statements. Now let me introduce Tony Will, our President and CEO.
W. Anthony Will - President, Chief Executive Officer & Director: Thanks, Dan, and good morning, everyone. Last night, we posted fourth quarter and full year results for 2014. For the fourth quarter, CF Industries generated EBITDA of $501 million and net earnings per share of $4.82. This brought our full year results to an EBITDA of $2.7 billion and net earnings per share to $27.08. After adjusting for the sale of the phosphate business, full year EBITDA was an impressive $2 billion and operating cash flow was $1.4 billion even in the year marked by volatile and high cost natural gas and basis differentials, record high crop production and associated pressure on grain prices and all-time record high urea exports from China pressuring global nitrogen prices. If anything, our performance in the face of those challenging conditions conclusively demonstrated the resilience and strength of our business. 2014 was a year of significant accomplishment and progress for the company. We established a new best-ever mark for safety performance, set an all-time record high for ammonia sales, closed the sale of the phosphate business for $1.4 billion, issued $1.5 billion in long-dated investment grade debt, increased the dividend 50% to $1.50 per share per quarter, bought back almost 14% of the outstanding shares of the company, and delivered a total shareholder return of 20%. Finally, we made good progress on our capacity expansion projects and are within six months of having the first production unit online. Speaking of our capacity expansion projects, I want to provide a bit more detail on them before handing the call over to Bert to discuss the market. As we have said before, our capital authorizations are intended to be accurate to within plus 10% or minus 10%. Therefore, we regard the projection of the projects as being on budget as long as they remain in that range, plus 10% or minus 10% of the original authorization of $3.8 billion. As a result of now having finalized plant designs and receiving final engineering documents, we have been able to generate a much more accurate and detailed estimate of the cost to complete the projects. Based on this projection, the estimated total cost is just inside the plus 10% level at roughly $4.2 billion. Even though our best estimate is still technically within budget, in the spirit of transparency and full disclosure, we felt it important to provide this update. While we have much greater clarity today on the expected total costs for the projects, based on our construction experience to date and the finalized engineering documents, there does remain some areas of uncertainty. However, even though there are certain unknowns and things outside of our control, most notably, weather, we fully expect the final total cost to land within plus or minus just a few percentage points from this latest estimate. The increase in cost is primarily attributable to the expansion at our Port Neal, Iowa Complex due to increases in materials and the corresponding labor needed to fully winterize the plants in Iowa and also an increase in the wage rates and per diems associated with attracting and retaining skilled labor in the Northern Midwest. The Port Neal project remains on schedule with the ammonia plant expected to start up in mid-2016 and the urea plant following in the third quarter of 2016. The Donaldsonville project, which does not share any of the Port Neal specific issues, remains right on track for both cost and schedule. The urea unit is expected to be operating in the third quarter of this year, roughly six months from now. We plan to have the UAN plant online in the fourth quarter and the ammonia plant in the first quarter of 2016. The projects are still expected to generate internal rates of return well into the teens and significantly above our cost of capital. Now, let me hand the call over to Bert to discuss the recent quarter and our outlook for the first half of 2015. Bert?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Thanks, Tony. Global nitrogen markets had attractive pricing conditions as we came out of the third quarter and into the fourth quarter of 2014 driven by restocking activities to replenish depleted inventories and tight supply dynamics in ammonia and urea driven by third quarter outages. Our record crop last year meant that the soil was significantly depleted of nutrients. That, combined with our projected 90 million acres of corn planting in 2015, created the backdrop for a stronger fall ammonia application season. However, harvest progress was well behind the five-year average and even behind the fall of 2013. In those areas where the crop was taken off, Ag ammonia demand was strong. We saw a good ammonia movement in October and early November, particularly in the northern regions. The slower than usual harvest in Iowa, Nebraska and Illinois created an issue when very cold weather and wet weather descended upon the Upper Midwest in mid-November. The result was, although there was significant farmer interest in ammonia, actual shipments did not materialize because farmers were not able to get into the fields for application. Our ammonia segment had an increase in revenues due to the inclusion of our sales to Mosaic and the favorable pricing conditions versus last year's fourth quarter. We had good price realizations as we sold against our order book and took advantage of what's – sales opportunities existed. While we did have lower domestic sales volume in the shortened application season, we expect that demand was simply pushed into the first half of 2015. The tight urea supply conditions of the third quarter continued into the fourth quarter, with turnarounds and outages continuing at a high level until midway through the quarter. Regions with gas supplies constraints, including Egypt, Pakistan, Trinidad and Bangladesh, continued to see curtailed operating rates as well. Urea prices, particularly in North America, compared favorably to last year even though we saw a record volume of urea exports from China. These record exports of nearly 15 million short tons were required due to both the urea outages and a high level of Indian demand. We estimate that India is on track to purchase over 9 million short tons of urea for their fertilizer year versus the five-year historical average of about 8 million tons. The healthy international urea market and the purchasing activity in North America as retailers and distributors restocked inventories led to our quarterly average urea price of $358 per short ton, which was 7% higher than a year ago. Our sales volume was 6% higher in the fourth quarter of 2014 compared to 2013 as we chose to sell into this market throughout the quarter rather than build inventory. The UAN market was active during the fourth quarter, with preparations for the first half of 2015. As the fourth quarter developed and the industry saw the ammonia application season curtailed, interest in UAN orders increased as retailers and distributors anticipate it will be needed in the spring to cover overall nitrogen demand. Our UAN segment had a decrease in sales volume in the fourth quarter of 2014 compared to 2013. In 2013, we chose to export some volume of UAN in order to balance our overall inventory system. In 2014, we had a lower level of inventory in our system with the expectations of more attractive conditions for the first half of 2015. We chose to build inventory and keep UAN here for domestic sales which we booked during Q4 for delivery in the first quarter and second quarter. Our other segment had solid top line performance as we experienced an increase in AN shipments and a continued significant growth in DEF, along with a notable decrease in DEF prices versus last year – increase in prices, excuse me. As we move through this winter and towards the spring of 2015, we are very pleased with the order book we have in place and the demand we expect to see this year. We continue to project that U.S. farmers will plant about 90 million acres of corn. With less fall ammonia applied in 2014, we anticipate healthy demand this spring for all three major forms of nitrogen. We have a good order book in place for ammonia and confidence in our business prospects going into the first quarter and second quarter. We estimate that only 60% to 70% of the normal ammonia volume went to the ground in the fall. Given the demand expected this spring, we have been working to produce and position ammonia across our distribution system. Additionally, we do think some ammonia demand will migrate over to UAN and urea and we are preparing for that as well. In the fourth quarter, we anticipated that urea prices would trend down as they recently have. So, we made the decision earlier this winter to build our 2015 urea order book for delivery out into April. We are also pleased with our UAN order book. UAN prices have been at a premium to urea and ammonia on a nutrient ton basis. We anticipate that UAN demand will be strong as farmers in some areas will need UAN to complement or replace ammonia so that they can get the full nitrogen application needed for maximizing their crop yields. I would note that we have not seen any significant decline in nitrogen prices as a result of the significant drop in global oil prices. Urea, in particular, continues to trade at the prices that are determined by the cost structure of Chinese manufacturers utilizing coal as their primary feedstock. There is very little relationship between international coal prices and coal prices in – or oil prices and coal prices in China, as oil is primarily a transportation fuel and Chinese coal is produced and consumed locally, primarily for power generation and other uses. We have seen stability in Chinese coal prices and, therefore, in Chinese urea cost structure in the latter half of 2014. Additionally, we know that the Chinese government is rolling back subsidies for urea producers in a number of areas, most recently in the freight rates offered to inland producers. These factors further support our confidence in the stability of the floor pricing structure within the nitrogen industry and, therefore, our prospects for strong cash generation even in a supply-driven nitrogen market. Now, let me turn the call over to Dennis to discuss our financial results.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Thanks, Bert. In the fourth quarter of 2014, we generated EBITDA of $501 million and earnings per diluted share of $4.82. Included in these results for the quarter were $67 million of pre-tax expenses for selected items listed on slide 19, which had an $0.84 impact on net earnings per diluted share. For the full year 2014, our EBITDA was $2.7 billion including a $750 million pre-tax gain on the sale of our phosphate business. We had operating cash flow of $1.4 billion. Our natural gas cost for the quarter included a realized loss on derivatives of about $5 million. This loss primarily reflects the expense of option premiums paid for the derivative instruments as NYMEX natural gas prices settled within the band of our hedged collars for most of the quarter. We are very encouraged by trends in the natural gas market. While the collars we have in place for the first quarter are above the price where gas settled for in January and February and well above the current price for March, we have no hedges in place beyond the first quarter. Natural gas production in the lower-48 states was, on average, almost 5 BCF per day higher in the fourth quarter of 2014 than in 2013. Higher production combined with lower-than-expected natural gas consumption, so far, this winter has led to industry projections that the natural gas storage balance will be above the five-year average at the end of winter and significantly above by November of 2015. As a result, NYMEX futures prices have decreased and are currently below $3 per MMBtu through the latter half of this year, as compared to our full year 2014 average cost of $4.25. We are closely monitoring this market and assessing if or when we would hedge our gas exposure beyond the first quarter. At this time, we are comfortable participating in the spot gas market. It is notable how the entire forward NYMEX strip has moved down since November of last year with annual futures prices not breaking the $4 per MMBtu level until 2022. We believe that future gas prices in 2016 and beyond have fallen for several reasons. Near-term, the marginal cost of new natural gas production will continue to fall, as the cost of rigs, materials and other field services deflate with the reduction in oil-directed drilling and development activity, making it less costly to bring out additional gas wells. We believe longer-term demand side impacts are also coming into play. As global oil linked to LNG prices have decreased, investment in future U.S. LNG export projects becomes less attractive. Similarly, new investment in olefins production from U.S. ethane has to account for the lower margin umbrella provided by more competitive naphtha-based ethylene production. We finished the year with total cash capital expenditures of $1.8 billion, consisting of about $500 million for maintenance and sustaining items, and $1.3 billion expended on the expansion projects. This brings the project to date total cash expenditures for the expansion projects to $1.8 billion. Our capital expenditures are projected to be in a range of $2 billion to $2.5 billion in 2015, including $1.5 billion to $2 billion for the expansion projects and approximately $500 million for all other items. During 2014, we increased our quarterly dividend by 50% from $1 per share to $1.50 per share. This is part of the commitment we have to increasing the dividend through time and using it as a means to return cash to shareholders. However, our share repurchase program has been and continues to be our preferred means of returning cash to shareholders. As of January 31, 2015, we had 47.9 million shares outstanding. This is the lowest number of shares outstanding ever for CF Industries as a public company. It is the result of our returning $5 billion of cash to shareholders by repurchasing more than 25 million shares since the Terra acquisition in 2010. In the process, we have increased the potential future cash flow available per share as represented in our nitrogen tons per thousand shares metric as shown on slide 8. This figure has increased from 53 nitrogen nutrient tons per thousand shares prior to the Terra acquisition to 140 nitrogen nutrient tons per thousand shares today, an increase of 165%. And with the capacity expansion projects, the 140 nitrogen nutrient tons per thousand shares is well on its way to being 175 nitrogen nutrient tons per thousand shares with additional upside from potential future repurchases. With that, Tony will provide some closing remarks before we open the call to Q&A.
W. Anthony Will - President, Chief Executive Officer & Director: Thanks, Dennis. We are proud of our performance in 2014 particularly given the challenging market conditions we face. And I want to thank all of our employees for their contributions to the success. As we look forward to the first half of 2015, we are encouraged by the market demand for our products and our healthy order book. We see gas costs that are substantially below last year which will have a direct impact on our profitability. We are also excited about the new production we will be bringing online at Donaldsonville in the second half of the year. As we look farther out, we again see a forward gas cost that is substantially lower than previously expected, as Dennis mentioned, not reaching $4 per MMBtu for a full calendar year until all the way out to 2022. We also see our production increasing more than 25% over current levels as first the Donaldsonville expansion project followed by Port Neal come on-stream. We are excited about our future and the very significant cash flow generation we will be able to deliver to our shareholders. With that, we will now open up the line to answer your questions. Operator?
Operator: Thank you. Our first question is from Chris Parkinson with Credit Suisse. Your line is open.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you very much. Given just the increase in cost versus the original $3.8 billion number, can you just give us a little more of an idea on the degree of confidence you have on both timelines, as well as any key remaining construction benchmarks you have over the next 6 months to 18 months depending on the project?
W. Anthony Will - President, Chief Executive Officer & Director: Yes, Chris. Let's start off and kind of go operating unit by operating unit. When we talk about D'ville urea being online in about six months, realistically that means we need to be mechanically complete there in about three months or four months. So, when we do our next conference call, we should be either mechanically complete or within a week or so of being there. So, I think everyone will get a very good indication of exactly how we're tracking against production schedule at D'ville, and we feel very good about that. We've got a team executing that project that built and commissioned Urea 4 and UAN 2 at Donaldsonville back in the 1980s. They've done it before and they know what they're doing, and we feel very good about that. Following that is UAN, and again, I think people should be able to hopefully take some confidence where we are three months from now on our next call on urea that that should translate into UAN. The one that's a little bit further out, obviously, is Port Neal. And we've got another winter to get through. Weather and uncertainty and so forth can affect that a little bit. But we're not trying to be anything more specific on Port Neal than somewhere in the middle of 2016 before that ammonia starts up, and then urea in Q3, and we feel very good about that. So, barring something really unexpected, if we get torrential rains and soupy conditions in one of the areas where it's tough to get some work done, we end up with a river flooding, we end up with something, again, that's well outside the norms of what we would expect, we feel very good about the projection on schedule, and we've done a tremendous amount of cost work. And again, we now have very detailed finalized plans and issued for construction engineering documents, line item, what they call takeoffs, which gives you the labor content for all of the operating units, and the number racks up to $4.2 billion or in that range. So, we feel very good about it within the scope of what's within our controllable universe.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. And just a quick follow-up on your order book going forward. As you mentioned, UAN prices have been pretty solid, while on the urea front you're seeing some divergence actually between oil (22:43) prices and then, like, Mid-Con and Canadian prices. Can you just give us some additional color, and I know Bert hit on some of this, on your forward order book and how you're targeting to maximize profitability, including any opportunities particularly for the second quarter? Thank you.
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Okay. Good morning. And we do have a number of opportunities when we come into the quarter, how we look at the forward opportunities available to the company, what products we choose to produce, whether we're favoring urea or UAN and sometimes even maximizing ammonia. But you have seen a correction in urea that's taken place over the last several weeks. Part of that is reflected in the international market. You're seeing a lack of demand in a number of the Southern Hemisphere areas that would pull, principally Brazil, and a lot of markets stepping out of the purchasing activity, some of that in Europe also, waiting for Europe to take off. And so, North America becomes a destination for extra tonnage, and that has taken place. We had that as a possibility in our market outlook. And so, because of that, we built our order book and selling all the way into April in the fourth quarter in anticipation of what we believe due to the commodity disruptions and market disruptions that were taking place in Q4 and early in Q1. So, for that reason, we feel very good about where we are and our possibilities and the profit opportunities available to the company when you roll in the lower gas costs that are available starting in Q2.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you very much.
Operator: Thank you. And our next question is from Don Carson with Susquehanna Financial. Your line is open.
Don D. Carson - Susquehanna Financial Group LLLP: Thank you. Bert, I want to go back to this issue of demand shift from Q4 to spring of 2015. In a normal year, how much nitrogen do farmers put down in the fall, and how far below that were we? I know you gave us the number for ammonia. And then, would you think that in calendar 2015 that nitrogen shipments could actually be up in the U.S., given this shift from spring – or from fall to spring and your forecast for 90 million acres of planting?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: So, good morning. And so, looking at the demand shift, we did have the weather issue. So, I think the farmers were – what we were seeing in terms of pre-purchases and planning for applications in Q4, we were planning and I think the market was planning for full applications throughout the Midwest. Generally, a farmer's applying less than he used to. They used to be 180 pounds, all applied in the fall, of ammonia. Today, that's probably closer, depending on if you're doing variable rates with fall and spring applications, which correlates very well to the 4R program that the TFI is advocating, you're seeing a lower level of ammonia in the fall, so 100 pounds per acre to 120 pounds per acre. I do think some demand has shifted. Actually, we know it has because when we go around and survey our retail customers in the high-application states like Iowa, Illinois and Indiana, and also Nebraska, that a lot of demand that was not fulfilled due to weather will be applied in the spring. That being said, it's a shortened season and when you take in weather risks, getting all of that ammonia down in the spring is probably a little bit harder. And so, that's why we shifted more of our attention and customers did also to UAN for sales into Q2. We're pretty positive on the 90 million acres of corn. There have been projections, a little bit lower. But in discussions, again, with the retail segment that we do business with as well as other participants in the value chain, seeds and chemical people, we believe that it's going to be a very healthy corn-planting season with good nitrogen demand to follow.
Don D. Carson - Susquehanna Financial Group LLLP: And just a follow-up on the increased capital expenditures, roughly $400 million or so. Does that mean that there'll be less free cash flow this year that you'll devote to share repurchase? How do you see that impacting the rate of return of cash to shareholders in 2015 and 2016?
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yes, I wouldn't link it necessarily directly to the projects but obviously, our priority is getting the projects done, Don, as you know – this is Dennis. My guess is that looking at it right now, between now and sort of the end of second quarter, it's unlikely that we'll be in the market buying many of our shares back. As we get to midyear, I suspect we'll take a look at where things are. We'll have greater clarity on a number of items and then we could be back in the market later this year, repurchasing shares. Our view is that our shares today represent a good value, even up near $300. And our appetite for buying in those shares to increase the nitrogen nutrient tons per share metric and cash flow generation capacity per share is a good thing for us to be doing.
Don D. Carson - Susquehanna Financial Group LLLP: Thank you.
Operator: Thank you. And our next question is from Vincent Andrews with Morgan Stanley. Your line is open.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thanks, and good morning, everyone. Could you talk a little bit about the way you're thinking about natural gas going forward? And I guess I don't just mean in a vacuum, in terms of your view on gas, but I am also kind of asking in terms of, you got Donaldsonville just about to start up. You talked about leveraging the new assets up. So how do you triangulate the opportunity to maybe lock in the cost side of the ledger with the ability to maybe borrow potentially upon startup of the facilities rather than waiting later on in order to – you just said you think the stock's attractive at these levels and presumably the stock will go up as your earnings go up. So how do you think about sort of the risk/reward associated with maybe hedging and maybe borrowing some money to buy stock back?
W. Anthony Will - President, Chief Executive Officer & Director: Good morning, Vincent. I'm going to take a first crack and then I'm going to turn it over to Chris Bohn who heads up all of our supply chain logistics and gas buying to give you his thoughts as well. But I think people have continually asked us this question over the past few years which is you got all this new capacity coming online, don't you think you should lock in your cost structure. And had we done it any time up to this point we would be way out of the money. We are big time believers in the resource base of gas in the United States, the ingenuity of people here to find lower and lower cost ways to extract that gas out of the ground. And as a result, the long-term very low cost environment that we're operating in as reflected in the NYMEX strip which is below $4 all the way out to 2022. And so we're delighted to be spot buyers right now and really think about hedging as a way to get rid of seasonal volatility as opposed to some long-term concern with the cost structure of gas in the U.S. Now, it doesn't mean that we wouldn't entertain something, but I think we feel very comfortable with the supply response in the U.S. When gas got up to $5 in the first quarter of last year on average, you see a production increase of 5 BCF a day on a demand base of, what, 67? So, it's a huge percentage increase in production, and costs of bringing new wells online are only decreasing as time goes on. But, Chris, you want to...
Christopher D. Bohn - Senior Vice President-Supply Chain: Yes, just to build on that, Vincent. As Tony mentioned, at this time, we're fine being spot buyers. When you look at 2015, last week's storage report shows that we're over 0.5 TCF greater in storage than we were last year at this time. Production continues to be strong where we're 5 BCF to 6 BCF greater per day in production than we were last year. And really based on this, we view 2015 as a significantly oversupplied market. And as a result, as Dennis mentioned in his comments, you're going to start seeing the conversation shift to the fall for storage containment issues. And as Tony mentioned, it's really illustrated in the strip right now where we're having one of the coldest Februaries we've ever had, and you have March trading at sub-$2.80 and the rest of the strip not above $3 than November. So, it's not to say that we wouldn't move in to some sort of position to mitigate weather or any other demand response, but right now we're pretty happy being spot purchasers.
W. Anthony Will - President, Chief Executive Officer & Director: And I'm going to ask Dennis just to comment on the debt piece.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yes, Vincent, I think we've talked about this maybe on the last call. But, obviously, we're mindful of the fact that as the projects come on, we will have significant additional debt capacity. We're also mindful of the fact that we have a commitment to our bondholders and then to our board of directors which they support to remaining ourselves – to keeping ourselves as an investment grade credit. That having been said, though, obviously as we get to the latter half of this year and we start seeing units start up in Donaldsonville with a view – a very close view to the ammonia units starting up there in the very beginning of next year, we're going to be in conversations with the rating agencies over what is the exact timing and amount to bring on additional debt. What I would say is we are very mindful of the fact that our shares don't have the value fully baked into them associated with the capacity expansion projects. And we're very mindful of the fact that we will be having significant additional debt capacity. It's just managing all those things within the parameters to keep ourselves on the straight and narrow with our BBB rating.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: And just as a quick follow-up, do you have a sense of if you wanted to go out further on the gas strip, how far out there, there's meaningful liquidity for you?
Christopher D. Bohn - Senior Vice President-Supply Chain: Yes, we could, I mean, there's liquidity probably three years out to five years out that we could go for certain tranches of that. I think you've seen some of our competitors, late last year mention that they've gone out through 2018 with a three-year portion of tranche. It'd really just be us looking at what we believe, to Tony's point, that we think the overall natural gas cost structure is going to be lower. So, it's just a decision on that point.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thanks very much for all the answers.
Christopher D. Bohn - Senior Vice President-Supply Chain: Thanks.
Operator: Thank you. Our next question is from Adam Samuelson with Goldman Sachs. Your line is open.
Adam Samuelson - Goldman Sachs & Co.: Yes. Thanks. Good morning, everyone. Maybe just following on about the capital discussions on the return side, and I know in the prepared remarks, I'm not sure whether Dennis or Tony, alluded to dividends being an important component of the future returns, but share repurchases being more important. As the capacity expansions come online, how do you think that dividend component of the cash return mix changes or how is that your thinking evolve there as you move out to 2016, 2017 and you're fully loaded on capacity?
W. Anthony Will - President, Chief Executive Officer & Director: Yes, good morning. I'd say, as long as we think there's a meaningful discount in our shares versus what we believe to be something approximating intrinsic value, we're going to have a strong bias towards aggressive share repurchases, because we think that will generate superior returns for our longer-term shareholders. And as you see that discount disappear, I think you would see us go heavier and heavier up on the dividend. Now, that said, we do have a desire to grow our dividend over time and we think that's an important signal to the marketplace. And it does provide a bit of a floor for our shares to constantly trade above, given what the yield desires are in the marketplace. So, I think there's a place for both of them. I don't think it's exclusively one or the other. But as long as we see opportunities to continue to drive really significant value for our shareholders by buying in cheap shares, we're going to want to do that.
Adam Samuelson - Goldman Sachs & Co.: Okay. That's helpful. And then maybe switching gears to the market; can you talk a little bit about the situation in India and that ties into the pace and magnitude of urea exports out of China last year and what is expected this year? But I mean, India is going to have a new budget shortly and there's discussion about changes in the urea subsidy. They're obviously an important consumer of Chinese urea. And how do you risk-adjust kind of the potential changes in the Indian demand this year and the impact to global supply-demand balances?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Good morning. This is Bert. They have a huge impact on the global supply and demand balance, importing almost 9 million tons, as we mentioned in the prepared remarks, above the historical average of 8 million tons. That being said, they consume over 30 million tons, and a lot of that is produced what we believe at high cost levels. And so, when you have a country that is consistently experiencing brownouts and the lack of energy, but directing that energy resource base to fertilizer rather than to building out the energy infrastructure, I think that is where India should or possibly could go as we move forward. And we saw that last year with the naphtha-based urea plants going offline. So, I would say, for longer-term looking forward, at 30 million tons maintaining that consistent demand base, I would expect to see more imports from China and Iran coming to India and less domestically produced product as those older plants go offline due to whether that be, again, being 34-year-old steel, as well as the high cost of energy. And so, that's why we're fairly positive if a lot of the pearled urea in China goes to India. It doesn't have too many markets internationally, anyway. So, that product needs to stay in China, go to India or a few other low-quality markets in the world. Not much granular that comes out of China goes to India, that goes to more of the Western Hemisphere, as well as into – little hits going into Europe.
W. Anthony Will - President, Chief Executive Officer & Director: But, Adam, I think, relative to China, we also would expect that over the next year or two years there to be a significant amount of urea production, particularly the gas-based urea production in China that will likely be coming offline because gas just won't be allocated for that use. And so, we really think that kind of the high watermarks for Chinese urea export sort of last year maybe into this year and then we see it trailing off as we go forward.
Adam Samuelson - Goldman Sachs & Co.: Okay. That's very helpful. I'll pass it along.
Operator: Thank you. And our next question is from Kevin McCarthy with Bank of America Merrill Lynch. Your line is open.
Kevin W. McCarthy - Bank of America Merrill Lynch: Yes, good morning. A question on urea; if we look at the U.S. benchmark prices, it was a fairly significant sequential decline moving from the third quarter into the fourth quarter and yet your realized prices held exactly flat. So, I wonder if you could talk through how you're able to accomplish that, did your mix changed and what your outlook would be given your order book for the first quarter.
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: In this type of market, we're always analyzing the options available to the country whether that again be production options, market options, export options. And so, during Q3, we saw some of the positive opportunities, in Q4 that were available to the company, we executed against those. These markets, they do oscillate up and down. We have different pricing structures whether that be a forward sale, an index sale, a spot sale. Again, we utilized all three as well as interior sales to achieve our – which we're very pleased with our UAN price realization. Coming into Q4 or coming out of Q4 into Q1, the correction that we're currently experiencing right now didn't start until January. And we have seen an international movement with a little bit of a decline in urea. But we expect a lot of that demand is being pushed into – later either into Q1 or into Q2. Times like this happen, a lot of demand is pushed forward when people try to buy at the bottom and the correction is actually fairly steep because a lot of that demand comes in at the same time. So I would expect that urea prices would trend up going into Q2 and we'll capture some of that price appreciation when it's available.
Kevin W. McCarthy - Bank of America Merrill Lynch: Okay. And then as a follow-up, if I may, would you comment on the financial impact of the outage at Woodward, Oklahoma in the quarter?
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: We had fixed plant write-offs during the quarter and they were approximately $10 million, fixed plant write-offs and I don't have quantified what the EBITDA loss was, but I don't think that it would have been substantial in the quarter.
Kevin W. McCarthy - Bank of America Merrill Lynch: Okay. Thank you very much.
Operator: Our next question is from Matthew Korn with Barclays. Your line is open.
Matthew James Korn - Barclays Capital, Inc.: Hey, good morning, everyone. Thanks for taking my question.
W. Anthony Will - President, Chief Executive Officer & Director: Good morning.
Matthew James Korn - Barclays Capital, Inc.: Tony, I wanted to follow up a little bit on the statements you made about the Chinese urea production. As you cited in your presentation, the Chinese have been adapting a number of policies in attempt to shore up their struggling domestic coal industry. It would seem that with the volume of exports so high, that would be breaching fairly deep into the Chinese supply curve to kind of source all the exports. Are there any indications today that feedstock availability is affecting any of these urea producers, be it straightforward coal import limits or coal quality limits or new environmental controls, anything which you're seeing there?
W. Anthony Will - President, Chief Executive Officer & Director: No. Matthew, what we do track pretty carefully is the price for anthracite lump both in terms of RMB and then on an exchange rate basis, what that looks like in USD and a dollar per MMBtu equivalency. And it did sort of come down and hit a low point as we got into kind of August, September of last year. And then it kind of started rising again, and where we were in, in January and now is more similar to where we were at kind of June, July timeframe, which is a stronger cost and, therefore, higher price or higher cost urea. But it doesn't move dramatically. It's been fairly small movements, kind of $0.20 per MMBtu, $0.30 per MMBtu equivalency. Given just the sheer volume of coal mining activities, we haven't been made aware of any kind of difficulty securing feedstock there. So, that has not shown up. Now, there have been a few smaller, kind of more privatized plants that have been – I think about 2 million tons worth that have been permanently taken out of production just because of the economics didn't work. But we haven't seen supply of coal really being a challenge.
Matthew James Korn - Barclays Capital, Inc.: All right. Thanks. Let me follow up, I guess, on some of the CapEx questions. You mentioned that the cost inflation you're seeing for the projects now don't really change your view on the cost side, like locking in either cost or natural gas. Does it increase any incentive to lock in new margins with more indexed or cost-plus contracts for Donaldsonville and Port Neal, kind of what you've done with Mosaic or I think some of the AN product you've had, you've done before?
W. Anthony Will - President, Chief Executive Officer & Director: So, Matthew, as we think about indexed or kind of cost-plus contracts, most of that tends to be for more industrial-based customers. So, Mosaic, we view absolutely as an industrial user of ammonia because it's an input into their process. The situation we have with ORECA on the supply of AN similarly as an industrial application. It starts getting tough for us to allocate big chunks of our volume on a cost-plus basis to agricultural customers because the minute you start going that way with one, everyone wants a piece of that action. And so, I think what you might see us doing would tend to be more on a market index kind of basis and allocating volumes to certain customer requirements that can be priced off of an indexed basis, but cost-plus is not really the direction, generally speaking, that we want to take the business. And part of the reason for that is we sit in a very, very advantaged location on the global cost curve and it is a global commodity that's priced off the highest price producers which, in this case is Chinese-based anthracite coal, and we want to capture the spread between our cost position versus the high-cost producers. We don't want to give that away to other people in the industry.
Matthew James Korn - Barclays Capital, Inc.: All right. Thanks, Tony. Good luck with spring.
W. Anthony Will - President, Chief Executive Officer & Director: Thank you.
Operator: Thank you. And our next question is from Jeff Zekauskas with JPMorgan. Your line is open.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi. Good morning.
W. Anthony Will - President, Chief Executive Officer & Director: Good morning, Jeff.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi. If you had to allocate the $40 million in mark-to-market losses across your segments, how would you do that?
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yes. Typically what we do, when we think about that, if you had to allocate, you'd basically be allocating on a gas usage basis. So if you think about ammonia sort of 33 MMBtu's per ton of ammonia, that would be a logical way to do it.
W. Anthony Will - President, Chief Executive Officer & Director: Yes. Almost all the gas use sits in ammonia and then it's only another kind of 3.5 to 4 to get it to urea, and very little on the AN and other product side; so, almost all of the gas consumption goes into initial ammonia production, yes.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. And then for my follow-up, so, this year, you'll bring on Donaldsonville, and maybe Orascom will bring on its facility. Do you think that in 2016, nitrogen pricing will be affected by the capacity expansions in the U.S., or do you think it would be unaffected?
W. Anthony Will - President, Chief Executive Officer & Director: Well, I mean, I think anytime you end up with lumpy chunks of supply coming on, there's going to be a short-term settling-out period as the market absorbs that. But because it is a globally traded commodity and things move pretty quickly to find the best possible netbacks, I don't think it's going to be a prolonged issue. I think it's one of those situations that traders will start moving tons back and forth if they can make $5 or $10, and cargoes that have found their way over to the U.S. could quickly find themselves being moved someplace else if there's margin to be had by doing that. The international global trade is pretty efficient at finding ways to make a little bit of an arbitrage here or there. So, these things have a way of balancing themselves out. And I'd say, longer-term, Jeff, the U.S. today or North America today imports roughly 40% of its total nitrogen requirements. And even with all of the projects that are currently in flight, coming on-stream by the end of sort of 2016 and into 2017 for some of those other projects, North America will still import about 20% of our total nitrogen. So, we will still be an import marketplace where the price is determined by bidding product away from the international market. And so, we don't see the projects that we have in place as having a negative kind of permanent overhang on the pricing environment in North America.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay, great. Thank you so much.
Operator: Thank you. Our next question is from P.J. Juvekar with Citigroup Global Markets. Your line is open.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Yes. Hi. Good morning.
W. Anthony Will - President, Chief Executive Officer & Director: Morning, P.J.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Couple of questions on China. You talked about urea being unaffected by oil prices. But recently Chinese coal prices have been declining in last few months. How confident are you that the floor on the urea cost curve will hold in China? And then secondly on China, I think you said that Chinese exports of urea will be at a minimum of 11 million tons. Are you saying that Chinese exports will decline this year?
W. Anthony Will - President, Chief Executive Officer & Director: So, P.J., let me handle the first part of that question and then I'll turn it over to Bert to talk about the export volume. So, the data that we have on anthracite lump coal, and I'm going to go back to beginning in sort of August of 2014, it was about RMB800 per ton. And it dropped a couple of RMB in September, RMB798. Then it went up to RMB802. Then in October, it was back to RMB798, December topped all the way up to RMB819 and where we were in January with RMB829. And if you look at the exchange rate, it hasn't moved that much. So on a dollar per MMBtu equivalency, we're actually fairly high again right now relative to where we were up through the second half of all of last year. And this is based on an average of 15 different locations across China in terms of price points for anthracite lump coal. So, I'm not exactly sure where the data that you're looking at is coming from in terms of the cost coming down for coal. But that's not what we see, and it's not what's reflected in terms of pricing for urea coming out of China. You don't see a precipitous drop in what the trader cost structure looks like. So, I think it would support sort of our view of what the internal cost position is on Chinese production. Bert, you want to handle the volume issue?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: So, in our projections and what we stated was we're expecting a minimum of 11 million tons, it could be bigger than that, to come out this year, but you have a different marketing construct coming into 2015 than we had in 2014. With a different tax structure and the need not to build inventory in anticipation of the export season happening as did in 2014, I think you're going to see a more ratable volume coming out per month from China. Currently, they're having to build their internal inventory for their spring demands, and we're not seeing the movement coming to the ports, except for Indian tenders that have been fulfilled. And so when you look at the market and where the Chinese product can go, there are some quality discounts that the market takes when they purchase Chinese product. And then the need not to build inventory in that May, June, July period for their previous export period, we're fairly confident that urea exports will be lower than 2014, and that's where we said a minimum of 11 million tons. But it could be in that range of 11 million short tons to 15 million short tons.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Okay. Thank you. And then second question, you talked about dealers replenishing inventories. So, where do we stand in terms of dealer inventory, and do you have any sort of ballpark rough estimate on where do we stand in terms of farm-level inventory?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Yes. It differs from product to product. I'll only focus on nitrogen. You can talk to the other guys about P and K. Ammonia sits with the producers, that's why our ammonia distribution system is so important to what we do and how we do it. We're able to safely move our product up through and into the Midwest through the NuStar and the Magellan pipeline, as well as with our barge system and then backfill only a little bit through rail. So we're currently preparing for that. Our inventories were fairly low coming out of Q4, but they were low coming into Q4. And so, we are in a build-out stage for probably starting – it looks like we could have a little earlier application window based on what's happening in Texas and Oklahoma. And then UAN and urea, we believe that a lot of the UAN inventory was so low coming really into Q3 and through Q3 because a lot of it got put down on the ground late last year and you can see that corresponding to the high yields that were achieved in corn in 2014. And so, we believe UAN inventories had to be built up to meet spring demand and then coupled with a drop in ammonia that may not be made up in the spring, you're going to need additional UAN or urea most likely. And so, you're seeing a higher level of imports. We think that those are balancing the market quite nicely. And so, we're pretty positive for UAN. For urea, we have had also a higher level of imports, but almost the same situation of UAN where inventories were low and a lot of product went over top of the corn late in the growing season last year. So we think inventories are adequate for all three products and we should do well this spring.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: Thank you. And our next question is from Mark Connelly with CLSA. Your line is open.
Mark W. Connelly - CLSA Americas LLC: Thank you. Two things; first to just follow on to that comment, CF has obviously done a good job managing logistics, but the logistics issue is still out there, and I'm just curious if you think it's still affecting the way producers are thinking about the spring and positioning product into the spring. And then the second question, when you look at the new cost estimates for your nitrogen expansions, you listed changes in scope and changes in labor. I'm trying to get a sense of how much that might be impacting some of the other projects that are out there, if you have any view on how much of it was just CF-related changes in scope, and how much of it is labor and other things that other people are going to feel too.
W. Anthony Will - President, Chief Executive Officer & Director: You bet. Mark, good morning. I'm going to handle the cost escalation, and then I'll ask Chris Bohn to handle the logistics piece. On the cost stuff, the increases that we have seen are largely a function of building a plant in the Upper Midwest, and the changes in scope are differentials versus the projected model that we got initially from Uhde ThyssenKrupp because they haven't built that many of these plants in the northern climes recently. Most of them have been built in Middle East, North Africa and other places. So, they have a model of what this plant is, and then they try to put a weather package on it to put it in the northern tier. And what we found is that the actual amount of steel went up pretty substantially, and the amount and depth of the number of pilings, the depths of the foundations and platforms, everything was quite a bit higher than what the original estimate was coming out of the engineering firm. And part of that is because you got to get well below the frost line. You've got huge wind loading on these big buildings and exterior structures that are covered, that beefs up the amount of structural steel that you need which again adds more concrete to the platforms. And as a result, there's this sort of escalation factor that was not originally accounted for when we got our original estimates from Uhde. And so, those are factors that are going to hit anyone building in whether it's Illinois, Indiana, Ohio, up into Québec and into The Dakotas. They're going to be faced with those same challenges of winterization package driving increases in material scope. In addition to that, the cost of getting skilled labor to come out of the Gulf region and move into the northern area particularly during the brutal winter, you got to pay the per diems. You got to pay shift rate differentials, 60-hour work weeks and so forth. And again those are the same costs that anyone building in the northern tier is going to face. And so, that's why you see almost all of the cost increase or in fact all of the cost increase happening in Port Neal as opposed to D'ville which is exactly where we thought it was going to be and those factors are directly applicable to anyone building a northern tier plant. Chris, you want to handle the...
Christopher D. Bohn - Senior Vice President-Supply Chain: Yes. From a logistics standpoint, Mark, I can only speak for CF. But we've had a very manageable winter, the logistics team has done a great job of positioning our product, the railroads for the most part. We've been happy with the performance, so far, due to the positioning of our cars and our plants. So I think for the most part with the exception of a little disruption with the potential or the CP strike for the day and a half, and some of the rivers with this colder weather, you're getting a little more ice on it than what we've had for the previous part of the winter, we've been in great shape, so there's not much that we're seeing as a bottleneck on the logistics side.
Mark W. Connelly - CLSA Americas LLC: That's super. Thank you both.
W. Anthony Will - President, Chief Executive Officer & Director: Thanks, Mark.
Operator: Thank you. And our next question is from Joel Jackson with BMO Capital Markets. Your line is open.
Joel D. Jackson - BMO Capital Markets (Canada): Hi. Thank you. Good morning. Had a couple of questions. The first question is, looking at your non-gas cash cost for all of your segments, they were higher on your new segmentation. So, they were higher in Q3, Q4 and in 2014 versus the prior year period. Can you talk about what's going on there? Were they higher than normal this last couple of quarters, or were they – or is this then the right run rate?
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yes. We look at the whole year-to-date, Joel. We've got a few things going on. Let me just sort of talk about they're sort of – almost sort of one-timeish in effect. We had a pension settlement which rolled through cost of goods sold of around $9 million this year. We also had some higher storage and logistics costs during the year. And as I talked about earlier, we had some fixed plant write-offs during the year of about $15 million. And then there's just a laundry list of a bunch of other items that add up to it. So, there's nothing really systematic in any of it. It's just that we, this year, rolling through our cost of goods sold, we had some significant other items.
W. Anthony Will - President, Chief Executive Officer & Director: To add to that, the pension settlement, we sold the phosphate business. All of those employees all of a sudden became former employees, and we had the opportunity to offer a bunch of them lump sum settlements which turned out to be a great thing for us. It de-risked our pension plan. But there was an impact that rolled through the P&L. And then when we had the protracted outage at Woodward, there was just an awful lot of costs that got absorbed into P&L that wouldn't normally be there, and you'd also see more production and more sales that would help absorb some of that and spread it around. So, as Dennis said, I think there's nothing systemic in terms of our cost structure. It was just some one-time events.
Joel D. Jackson - BMO Capital Markets (Canada): But would the 2013 numbers that you disclosed, so far, would that be more of the right numbers used in 2015 or something in between the two years?
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Oh, I don't know, Joel. I haven't thought about it. I wouldn't want to give guidance on 2015. I think we're planning on running our plants well this year, and you'll take your own view on natural gas.
Joel D. Jackson - BMO Capital Markets (Canada): I meant, sorry, on just the non-gas cash cost. Sorry.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yes. I mean, I don't see anything sort of unusual happening this year. I mean, we'll have a turnaround schedule. We'll take turnarounds, and that'll attract certain costs, some of which will be expense. And then, we'll also continue to have expenses associated with the capacity expansion projects. But really, there's sort of nothing in 2015 that's sort of out of the ordinary.
Joel D. Jackson - BMO Capital Markets (Canada): Okay. And finally, at our Investor Presentation, you had some disclosure, you expected sustaining capital to be $450 million this year and $350 million thereafter. You've now updated that to say $500 million this year and you haven't said thereafter. Can you talk about what's going on with sustaining capital and what you'd expect after 2015 as you ramp on the expansion? Thanks.
W. Anthony Will - President, Chief Executive Officer & Director: Yes. So, Joel, one of the things that we've been doing with sustaining capital is we have been kind of going through and systematically bringing the legacy Terra plants up to the standard that Donaldsonville and Medicine Hat have been kept to. So, that means we don't let single-point failures in an ammonia tank take the entire site down because we have a redundant ammonia tank storage. We have DCS control systems on all of our production units. We don't have pneumatic or single-loop control systems. There's a whole series of things that we have been doing to, again, systematically upgrade and make the plants more reliable. And we're getting near the end of that process. We are doing a couple of major DCS upgrades including one right now at Verdigris and one later in the year, I think at Woodward. But as we look forward, that kind of big spike will have worked its way through the system and will be returning to what we view as a more normalized maintenance CapEx which is back in kind of $300 million to $400 million range. It's going to vary one year to the next year based on the intensity of turnarounds, but that's a pretty good average number. As we demonstrated back in 2010 and 2011, if need be, the plants have an ability to sort of tighten their belts and run on a lower rate than that, but that does have long-term consequences. And we'd rather keep them running at the appropriate sustaining rate to maintain high on-stream reliability and safe operations. And that's really kind of still in that $300 million a year to $400 million a year range.
Joel D. Jackson - BMO Capital Markets (Canada): That was very helpful. Thank you.
Operator: Thank you. And our next question is from Charles Neivert with Cowen and Company. Your line is open.
Charles Neivert - Cowen & Co. LLC: Morning, guys. Got two quick questions, one, in terms of Donaldsonville and the new ammonia plant when it starts up, does that trigger the startup of The Mosaic deal? And of that production that's going to come online, assuming it's running full board day one, but how much of that new production is committed to Mosaic once that starts up? And then on the follow-up, with the decline in oil pricing, and I don't know what you have for an assumed oil price going forward, does that mean or do you think that India will in turn, then, keep on those naphtha-based urea units because now it's a lot cheaper to produce than it was six months ago, eight months ago, 10 months ago?
W. Anthony Will - President, Chief Executive Officer & Director: So, on The Mosaic side, Charlie, we already are moving our Trinidadian tons to Mosaic in Tampa. So, that contract or that piece of the contract has already begun. The rest of the contract officially starts January 1 of 2017, but there's an opportunity for us to supply them tons ahead of that if both parties agree. And one of the challenges, of course, you have when you're shipping anything intra U.S. is you need Jones Act vessels, and they're in the process of constructing their Jones Act vessels. So, the tight shoe on this one is going to be more their ability to arrange transport as opposed to our ability or willingness to sell the tons. But that contract officially kicks off January 1 of 2017, unless both parties agree to an earlier date.
Charles Neivert - Cowen & Co. LLC: If it's an earlier date, would it be at the same contractual deal as the 2017 start, or would there be some adjustment there?
W. Anthony Will - President, Chief Executive Officer & Director: No, we would keep the same pricing mechanism in place that generates a nicer-term for us on our plant.
Charles Neivert - Cowen & Co. LLC: Okay.
W. Anthony Will - President, Chief Executive Officer & Director: On the oil price, your point is a good one, which is the naphtha-based production is more competitive than it was six months ago, eight months ago, and those plants might have a little bit more of a runway from a limp-along standpoint. I think most of the people that we talk to in the energy space suggest by the time you get to the end of this year, you're in sort of $60 a barrel range. You get into next year, you're more $65 to $75, and then it could go up from there. And I should see some meaningful new production coming online. And as oil continues to kind of creep up in terms of cost, those naphtha-based production units become less and less economic, and we're back to the world that Bert described. So, could they hold on for a period time longer? Certainly possible. Do we think those are long-term producers and part of the overall supply curve? We don't view those as being a meaningful part of global production.
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: Yes. I think it's important, this is Dennis, Charles, that you keep in mind that at $60 oil, you're still talking about $10 per MMBtu, and although that maybe "more competitive" than it was at $100 per MMBtu, it is still not competitive in an absolute sense when you think about people like ourselves, who are paying today somewhere between $2 per MMBtu and $3 per MMBtu for energy to produce product.
Charles Neivert - Cowen & Co. LLC: Okay. Thank you.
Operator: Thank you. Our next question is from Michael Piken with Cleveland Research. Your line is open.
Michael L. Piken - Cleveland Research Co. LLC: Hi. Good morning. Just wanting to circle back with respect to your expectations for the spring and kind of how the dealers are positioned, if we get in very early spring like we did in 2012, I mean, is there potential for the Midwest market to rally by maybe a higher amount than people are thinking right now, or do you think there's been so much product already bought that that type of run is not possible?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Whether we have an early spring or a late spring, still to be determined. We have seen some early – some very positive early activity in Texas and Oklahoma, as I mentioned earlier, regarding UAN movement out of our Oklahoma plants in preparation for their season there. If we were to see an earlier spring as we saw in 2012 where we saw demand consistent every month and then much earlier where March was taxed at least through the distribution system, I do believe you would see a price rally. Similar to 2012, where it went from $430 to $740, I doubt that. I think we'd be pleased to see something in the upper $300s. But who would probably capture that would be those who have inventory in position or able to put product in position such as CF because it's difficult when those price disruptions take place, it's generally a freight issue or a product availability issue.
Michael L. Piken - Cleveland Research Co. LLC: Okay, great. And then my second question just relates to kind of the summer fill program and I know it's a little early. But I mean, with kind of more capacity coming on and specifically the Orascom facility potentially up and running by next spring, how do you sort of think about your approach to summer fill and I guess in terms of – both from a pricing standpoint and an ability from a timing perspective to get the dealers to buy in? Thanks.
W. Anthony Will - President, Chief Executive Officer & Director: Yes. Regarding summer fill, we work in conjunction with our customers to make sure that we are supplying their needs and expectations. Summer fill is very important because UAN, focused on UAN, you're shipping so much product. Demand is around 13 million ton, 14 million tons in North America and you have to ship that every month and utilize your logistic assets because you can't just receive it all in two months or three months or four months in the spring. And so, there will be a fill program, the other producers that are bringing on additional capacity, they're actually going to come out with ammonia first and we don't see that UAN coming on-stream until, at best, late in the first quarter of 2016 and probably Q2 2016, and so that's too late to impact fill and probably too late to impact the spring season. Our UAN and Donaldsonville will be brought up late Q3, Q4 and that will be a part of our program.
Michael L. Piken - Cleveland Research Co. LLC: Okay, terrific. Thanks.
Operator: Thank you. And our next question is from Tim Tiberio with Miller Tabak. Your line is open.
Tim J. Tiberio - Miller Tabak + Co. LLC: Good morning, and thanks for taking my question. I guess, with regards to your comments on the Q2 hedging position around natural gas and those colors really rolling off starting in the second quarter, can you kind of give us a historical reference point of how much of your Q2 sales are typically produced in Q1?
Dennis P. Kelleher - Chief Financial Officer & Senior Vice President: You're basically asking, what do we have in inventory typically at the end of Q1 for sale in Q2, and I think the answer to that is that varies by year. So, as we look at our inventory – as I look at inventories and I look at them every quarter because it's part of what we do to prepare for these calls, every quarter it's going to be very different and it will vary by product, depending on what's happened at the quarter before. So, there's not really a lot of insight to be gained from that.
W. Anthony Will - President, Chief Executive Officer & Director: But, generally speaking, Tim, I would say out desire is to come out of the under the second quarter with sort of the warehouses and the tanks empty, if possible, and so, very little of what is produced in Q2 stays in Q2 – or goes into inventory, it's maybe half a month or at most a month, and so, all of the sales in Q2 and Q1 are really the product that has been produced. So, if you're thinking about how to view the lag of how gas is going to work its way through the P&L, part of it, back to Dennis' question, is do we get an early spring, which it doesn't look like looking out the window this morning and it being 0 degrees here in Chicago, but do you get a big ammonia season in Q1 and get those sales right now, or do they trip over into Q2 and so forth? But certainly in the first half of the year, all of that gas is going to work its way through the P&L.
Tim J. Tiberio - Miller Tabak + Co. LLC: Okay, great. And then my second question, back to your point about the cost inflation from winterization. I guess, probably some of that has to do with your urgency of trying to get these projects done, but with some of the major CapEx reductions that we've seen in the oil patch being announced over the last couple of months, do you see that structurally changing, through, if at some point some of that labor may structurally have to move back into the North? And does that change your view on some of these projects that have kind of been seen as more marginal from a returns basis?
W. Anthony Will - President, Chief Executive Officer & Director: Yes. Tim, I think it's a good question. Obviously, a strong dollar versus the euro means that your engineering and some of your procurement costs are a little bit less, and if you see a bunch of the LNG and other kind of projects canceled, do you end up not having to bid up labor quite as much? I think those things are good questions. But I think generally speaking, the skilled trades are still Gulf area-centric people. And because of new construction and turnaround activity, there's, generally speaking, plenty of work to keep them gainfully employed in the Gulf region. And so, our view is to attract the scale of people that are required to build a nitrogen facility, you're not going to see a substantial discount in labor rates versus what we're experiencing today. Again, strong dollar means you might get a little bit of benefit on some of the engineering and procurement side. But the other thing that's important to recognize is the economics available to anyone coming after this, are diminished relative to us for a couple of reasons. One of which is we've got sort of the first mover advantage and we're going to have at least three years of production of these projects versus anyone else. And anyone else that comes after this, the S&D balance is something that just doesn't favor those projects from a price realization standpoint to the same extent as our projects. The other thing is we have an entire network and logistical asset base that we're feeding our production into, and as a result, we believe we can generate better netbacks than anyone else out there can. And so, if you're operating a single facility with operation without benefit of all of the terminals and rail assets and barge fleets and everything else, you're really operating at a pretty significant disadvantage, and again the economics on that are pretty challenged. So, our view is it doesn't keep someone from doing something stupid, but we just don't think that there's a compelling economic story there for people to be building a lot of new plants.
Tim J. Tiberio - Miller Tabak + Co. LLC: Great. Thanks for your time.
Operator: Thank you. And our next question is from Sandy Klugman with Vertical Research. Your line is open.
Sandy H. Klugman - Vertical Research Partners LLC: Yes, thank you for fitting me in. So, you discussed our import requirements falling to about 20% over the next several years. But looking further out, I was wondering, what do you expect our import requirements to be by 2020 and where do you see capacity coming offline as the global cost curve shifts to the left?
W. Anthony Will - President, Chief Executive Officer & Director: So, Sandy, we believe that North America will continue to be an import marketplace out through 2020. We just don't think that there's going to be enough new projects built, that are going to change the macro S&D balance. And the other thing that we have the ability to do is to influence that to some extent because Donaldsonville, in a lot of ways, could be considered an export plant or – it's not an interior plant. Our costs are about the same to move that product into Latin America as they are to move it into the Corn Belt. And so, we have an ability to, just ourselves, influence kind of this notion of whether the interiors and import and export are in balance. In terms of the overall marketplace, nitrogen demand continues to grow at about 2% per year to 2.5% per year. Some of that is industrial like DEF growth and other things. It's also intermediate chemicals and so forth. So, as you look at global demand growing at 2% a year, you have to bring on kind of 4 world-scale plants to 5 world-scale plants every year just to satisfy demand. So, while we do think there will be some production coming offline in the very high-cost regions, I don't know that it's going to be as dramatic as some people are suggesting. Also, as you look at global production, there continues to be gas curtailments in a lot of production regions. Egypt has seen pretty significant gas curtailments. Even Trinidad has seen 10% to 15% gas curtailments with no immediate end in sight there. So, I think the notion that the industry's got to rationalize a whole bunch of additional capacity in the next year or two years might be overstating it a little bit.
Sandy H. Klugman - Vertical Research Partners LLC: Okay. And then – that's helpful. Thank you. But as a follow-up, shifting back to natural gas, I know you said that you're primarily exposed to the spot market, but question is, does this imply that you're not even locking in gas to match orders in your forward order book, which has historically been the company's practice?
W. Anthony Will - President, Chief Executive Officer & Director: So, we have historically done that. And generally speaking, it's something that made sense when you go back to when the company became a public company back in 2005 and 2006. So, at that point in time, North America had some of the highest gas costs. We were the marginal producers. When we sold forward, we wanted to ensure that we were locking margin that was actually positive margin. We live in a very different world today where we are some of the lowest cost production on the planet, and we're not concerned about margin going upside down on us. And so, our view now is much more informed by what's our view of gas as opposed to needing to "lock margin". Now, today, our forward order book is covered by our current hedges and our inventory, which is the way that we have always operated in the past. But we are actually evaluating that policy and dogma as to whether that's something important for us to maintain or whether we want to have a little more flexibility in our approach to that going forward.
Sandy H. Klugman - Vertical Research Partners LLC: Thank you. That's helpful.
Operator: Thank you. And our last question is from Andrew Wong with RBC Capital Markets. Your line is open.
Andrew D. Wong - RBC Dominion Securities, Inc.: Hey. Thanks for taking my questions. So we started to see some UAN exports from China last year. Can you just talk about how you expect that might evolve over time and how it might impact UAN or urea pricing?
Bert A. Frost - Senior Vice President-Sales, Distribution and Market Development: Yes, we did see some exports out of China to the United States, to Mexico and to Australia. But when you look at the total exports that came out of China, it's still relatively small. We have been there. We have looked at the structure that is in place to support that export capability and it's de minimis. There are a few tanks at the port. They have to truck product into the port and small storage – now that can all be built out, but it's really not prepared for the export capability like we have at Donaldsonville where the tank is right next to the dock. We can load ocean-going vessels of various sizes. And so, I think what the Chinese were doing last year was getting accustomed to moving product. I think over time, as you see capacity come on in the United States, that would be, at best, a rare occasion. And so its impact, we don't see it as being that impactful. And their cost structure is high enough that it doesn't really impact us there either.
Andrew D. Wong - RBC Dominion Securities, Inc.: Okay. And then maybe just switching over to capital allocation and share repurchases, just could you reconcile your comment earlier regarding slower repurchases through the first half of this year with your view that shares are currently well below intrinsic value?
W. Anthony Will - President, Chief Executive Officer & Director: Yes. Andrew, our issue is at the moment, our focus is 100% on bringing our projects online and if we need to sort of husband capital a little bit here in the first half of the year to ensure that we do that, then that's pretty easily done. It doesn't change our view on the attractiveness of our share price. It's simply just a short-term issue. And as Dennis said, as we get by the end of the first half, D'ville urea should be done and starting off with some cash flow coming back in off of that, we'll have that much better visibility into what's going on with schedule and timing on the rest of the projects and be in a really good position to be able to make that decision at that time. But again, this is in a spirit, much more open transparent communication about our intentions maybe than we've ever been in the past. Just saying, hey look, our priority right now is getting the cash flow coming in the door on these projects. So, if you're looking for a big repurchase, don't look for it probably in the first half of this year.
Andrew D. Wong - RBC Dominion Securities, Inc.: Great, I appreciate the comments. Thanks.
Operator: Thank you. And I'm not showing any further questions at this time. Please proceed with any closing remarks, Mr. Swenson.
Daniel Swenson - Senior Director, Investor Relations & Corporate Communications: Thank you. That concludes our call for today. As always, I'm available for any follow-on questions. Thank you, everyone, for your time and interest.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a great day.